Rita-Rose Gagné: Good morning, everyone. Thanks for joining us for our full year 2024 results presentation here at our offices in Marble Arch, and welcome to those who are dialing in. So 2024 has been a very busy and transformative year. Actually, it's been busy for the last 4 years. And the key highlights around the delivery are a balance sheet for growth, a strong operational performance and now a growth agenda. So let's get started. Following several years of strategic repositioning, selling noncore assets and reinvesting the proceeds to drive revenue in our prime portfolio, our balance sheet now stands as one of the strongest in the sector. LTV is 30%, and that is post the reinvestment in our Westquay asset. All our destinations are now in the top 20 retail venues in their countries, and they are all in the top 1% of where retail spend is concentrated. We've been obsessive about creating relevant spaces and experiences for our customers and our occupiers. And that's been powered by data and analytics. What's clear is that the flight to quality has driven strong demand to our destinations. And we delivered another strong year, actually another record year, of leasing. We did 262 leases signed on 1 million square feet of space. That generated GBP 41 million of rent, and that is up 2% like-for-like. That represents GBP 255 million of rent contracted to first break. That is a long-term visible income stream and that is our business. We're driving a further reduction in vacancy. So we've driven that in 2024. We're now at less than 5% of vacancy. And with only a handful of lettable units, we have been -- built strong rental tension. Long-term deals were signed 56% above previous passing and 13% ahead of ERV. That equates to an additional GBP 8 million of passing rent. Leasing performance is reflected in the ERVs with like-for-like growth in all 3 geographies. The valuations in the U.K. are up 4.2% and 1.5% in France. Ireland was down 13%. That's due to the valuer's interpretation of what is a distressed debt sale in Ireland. We've got the best asset in Ireland, and I was happy to see yield stabilization in Q4. The key point here is that all our values in all the geographies are now reflected by in-year transactions. Now let me tell you about what's going on in our destinations. So they are thriving. We welcome 170 million visitors. And excluding assets that are in major repositionings, footfall was up 2%, an extra 2.5 million visitors, and growing ahead of national benchmarks. Some of the strongest performances came from where we've deployed significant capital in recent years. For example, Westquay was up 4%. Bullring was up 3% after a big year last year, and Les 3 Fontaines was up 6%. Sales performance was also good. They are up 5% in the U.K. and 3% in France. There were some standout performances on the portfolio. And as an example, Bullring was up 11% in terms of its sales growth, and that is the strongest-performing asset in its U.K. peer group, in accordance with the 2024 Lloyds Bank data. Our curation of the right product and mix in partnership with brands partners is driving better and higher sales densities. As you might anticipate, prime spaces drives the largest increases. And where we have repositioned or introduced new brands or new formats, the sales densities are up 42% per square foot. This is all delivering rental growth with a like-for-like GRI up 3% when I exclude Cabot Circus and the Oracle that are undergoing extensive repositionings at the moment. The U.K. was up 3% and France was up 8%. Ireland was down 3%, and but that's largely due to a tough comp. And 2023 was a great year for Dundrum and on significantly over-rented unit in Ilac. Given the level of repositioning activity in the portfolio, like-for-like NRI was flat, but better than anticipated, and GRI to NRI in flagships at a healthy 82%. As we said we would in 2021, we have invested in a new operating model, automation and digital tools to increase productivity. Costs were, therefore, down another 16% year-on-year, and that is ahead of our guidance. So adjusted earnings came in at GBP 99 million on the back of a strong Q4 and the 4% increase in the dividend reflects overall strong performance and our confidence in delivering more growth in the years to come. We've already signed GBP 9 million of leasing in January and February, 10% above -- actually, it's more than GBP 9 million, I learned this morning, and that is at 10% ahead of previous passing and 11% over ERV. So the trend is continuing strongly as we have fewer space. Footfall continued to grow in January with particularly strong performances in Westquay, which was up 8%, and Bullring up 10%. This performance didn't happen by accident and it's not a newfound strategy. It's the result of our wider strategy to transform and position the business we've been pursuing over the last 4 years. So we've strategically realigned the portfolio to 10 landmark destinations and 80 acres of strategic land which are perfectly placed to benefit from 3 major positive structural trends. First, cities are engines of growth. I have a conviction on cities. The team has a conviction on cities. Our cities generate 1/3 of GDP in each of their countries. Our catchment contained 40 million of customers, and the demographic is young affluent with purchasing power 10% above average. Secondly, unified commerce is the dominant and most profitable model used by retailers. So we've seen a renaissance in the physical experience for customers and brand partners. At least 80% of all retail transactions touch a store. That's the new normal. Customers who spend with our brand partners in-store are also spending with the same brand partners online. So it's not one or the other. Thirdly, flight to quality continues. Brands want fewer, better and more productive stores in only the best locations with the most resilient demographics. For example, it takes only 40 stores to reach 80% of the U.K. population, which is concentrated in urban areas. So as a consequence, the supply of this space is scarce and shrinking, and that's where we are. These city destinations are vital to the social and economic fabric of their communities. They are treated as social infrastructure with the potential of a broader mix of uses. This sets them far apart from the obsolete shopping malls that do not possess the scale, the flexibility or the inherent brand value of our destinations. In many ways, I sort of think about them as a different asset class altogether. What we are doing is integrating retail, leisure and community hubs to engage customers and occupiers in our destinations. So it's how we have positioned the portfolio and the strength of our operating platform that is driving our performance. And that is what gives me confidence as we look to 2025 and beyond. So let's walk quickly with Himanshu. He will give you the numbers and the modeling assumptions for 2025. But essentially, the entry run rate of adjusted earnings is GBP 85 million if we adjust for the net effective of 2024 disposals and acquisitions. We anticipate growth off this base from investments in our portfolio and ongoing discussions on possible acquisitions. We see further earnings growth from the full run rate of investments coming through in 2026. I'll come back to explain our growth drivers to get there and our medium-term financial framework, but again, first, we'll go to Himanshu to cover the financials of a very busy year. Himanshu?
Himanshu Raja: Thank you Rita-Rose. Good morning, and thank you, Rita-Rose, again. Let's dive straight in. Reported GRI was down GBP 21 million year-on-year due to the impact of the disposals that Rita-Rose mentioned. On a like-for-like basis, GRI was up 1.6%, but with underlying GRI up 3%, excluding the repositionings. Both reported and underlying NRI was flat on a like-for-like basis with underlying U.K. flagships up 3.1% alongside France, which was up 4.2%, and offset by Ireland, which was down 6% due to the strong comps and the overrented unit that Rita-Rose already mentioned. You'll recall, in terms of comps, that Ireland this time last year was up 6%. The overall GRI/NRI ratio was 77%. And that brought home the adjusted earnings after a good performance on both interest and finance costs to GBP 99 million. The IFRS loss was GBP 526 million, and no new news here. Of this, GBP 497 million is attributable to Value Retail, which was valuation losses in the second half and the impairment on Value Retail, and a much more modest net valuation loss, therefore, in the retained portfolio. Turning now to the balance sheet, total profit returns were up 2.1%, a positive income return of 5.7% offset by capital return of minus 3.4%. And the total property return in the U.K. and France was up, the U.K. up 8.7%, France up 5.1%, with Ireland and developments down. Net debt reduced 40% year-on-year with the resulting net debt-to-EBITDA of 5.8x and LTV and FPC LTV at 30%. And therefore, I'm pleased to say we'll be retiring FPC going forward. The LTV is the LTV at 30%. Liquidity is GBP 1.4 billion, including GBP 814 million of cash on balance sheet, so all really good numbers on capital structure. Now turning to the adjusted earnings walk, keying off from GBP 116 million in FY '23, NRI was down GBP 16 million from noncore disposals. VR was also down, reflecting its disposal in Q3 and a weaker in-year P&L performance as well as the valuation loss that I mentioned on VR. Like-for-like NRI was down GBP 1 million and reflects the ongoing repurposing that we've already talked about. Non-like-for-like accounts for the acquisition of Westquay offset by GBP 4 million from securing vacant possession in the development portfolio and adverse FX. Our cost performance was strong, gross admin costs down GBP 8 million and a net saving of GBP 4.1 million after the loss of property income from disposals. And with an average cash balance of GBP 675 million from both the disposals and our successful refinancings during the year, our net finance costs improved by GBP 14 million. But in turn, the tax man always gets you. This meant our tax charge increased by GBP 1.7 million year-on-year as interest income falls outside the REIT wrap-up, albeit that was slightly better than anticipated. And that rounds off the adjusted earnings walk to GBP 99 million. And then on the right-hand side of your chart, for your models, you can see the annualized effect of the 2024 disposals and acquisitions giving you a go-forward run rate of GBP 85 million adjusted earnings as an entry for 2025. On to the NTA walk, we start with 508p at the 1st of January. Adjusted earnings adds 20p per share and then you see the effect of value we sell, 116p, comprising the impairment of 111p per share and 5p from our share of the revaluation loss. Property revals and loss on disposals accounted for a further 20p. Dividends paid represents an outflow of 15p and the premium on our bond refinance was a further 5p. FX and other movements, including share buyback, totaled 2p, which brings home the NTA walk to 370p. On to valuations, our flagship portfolio is valued at GBP 2.4 billion with like-for-like valuations up in the U.K. 4.2%, 1.5% in France and down 13% in Ireland. It was great to see our positive leasing performance come through in ERV growth in all territories and to see positive income returns. The yields reflected in-year transactional evidence in all geographies and were broadly flat in the U.K. and in France. And in Ireland, yields went down 90 bps, but Rita-rose already covered that. And in Ireland, that means yield spreads to 5-year swaps are at 440 bps, even higher than the U.K.at 340 bps and France at 260 bps. Whichever way you look at it, you guys will know better than me, historically pretty high, if not all-time historical highs. So let's now move on to the balance sheet. We've already covered the strength of the balance sheet on the left-hand side of this chart, but I'd just like to call out 1 or 2 highlights on the right-hand side, first, the refinancing of the maturing facility on Dundrum, with a new GBP 350 million loan at 100%, the largest European secured financing in retail in 2024. And the second highlight was our GBP 400 million bond issuance in October, which, on the back of improved credit ratings, saw a 7x peak order book. The new issue proceeds were used to repurchase GBP 412 million of the group's 2026 and 2028 bonds. At high coupons, the average interest rate of the redeemed bonds was 7.1%. And therefore, our results and capital structure is completely transformed today. And you can see that on the debt maturity chart on the next page. The group's average debt maturity extended 2.2 years to 4.7 years and the weighted average gross interest rate increased by only 20 bps to 3.5%, which is a function of retiring that expensive debt following the bond issue. Looking ahead, of the GBP 814 million of cash, the 2025, 2026 maturities are fully covered, and we expect to refinance the GBP 574 million of GBP o bonds maturing in 2027 in the ordinary course. And so to my last slide, the modeling assumptions, Rita-Rose has given you the short answer on guidance, which is that, of our new base of GBP 85 million, we anticipate further growth from our investments in our owned portfolio and in acquisitions. The benefit of these will naturally depend on timing. For those of you guys in the room who prefer modeling line-by-line, there's a very detailed guidance in the back of your packs. And of course, offline, you can pick up with Josh or myself, and we look forward to guiding you through those. I'd also like to just spend a minute on CapEx. We get a lot of questions on CapEx. For 2025, expenditure CapEx of around GBP 85 million, that's GBP 30 million for repositioning and GBP 55 million across '25 and '26. So GBP 30 million in '25, GBP 55 million, '25, '26, GBP 30 million for asset enhancement and place-making, GBP 10 million to complete the Ironworks, and up to GBP 15 million of what we call light-touch development CapEx. And again, there's a detailed slide in the appendix on how we will fund this between balance sheet and FFO, the key point here being that we've got a strong grip on CapEx. We have always been and will remain disciplined in the deployment of CapEx. And lastly, on guidance, returns to shareholders, assume the buyback continues at the current rate through 2025 and assume a dividend payout ratio within our 80% to 85% payout range. With that, back to Rita-Rose.
Rita-Rose Gagné: Thank you, Himanshu. So we've covered 2024 highlights and the key financials with a view on 2025. Now let's discuss our steps to drive growth. And first, I want to take a moment to talk about the track record of the last 4 years because that is what gives us the foundation for growth. So in 2021, we set out to realign the portfolio, the platform and the balance sheet to be all aligned to our vision around prime city destinations with community at their hearts. In doing so, we completed GBP 1.5 billion of disposals. We reduced net by 64 -- net debt by 64% over that period. So today, as we mentioned, we have one of the strongest balance sheets in the sector with net debt-to-EBITDA of 5.8x, and that was 14.1x when I started. So we have room to grow now. At the same time, we've rebuilt the platform, we've increased our efficiency and reduced our costs by 36%. For me, the hard decisions have been taken there, and we will continue to create additional operational leverage from this point on. We identified space that needed repositioning early on in the journey and invested GBP 112 million at our share to attract new brands and a more diverse mix of uses. Over the period, our occupiers have invested GBP 350 million into our stores. So that's a very strong endorsement of our proposition. In doing so, we were tackling the rebasing of rent, as you know, notwithstanding that we managed to create tangible rental tension, and we decreased vacancy and rents are now growing. There is more to come on that. Overall, again, over this period of 4 years, we've secured 956 long-term leases totaling GBP 156 million of annual rent on an average of 32% over passing rent and 4% over ERV. And that equates to GBP 1.1 billion of rent to contracted first break. 50% of the portfolio has been actively churned since full year '20. We are still working some old leases and structures out of the portfolio, some of which are over-rented. However, all territories are now revisionary. During that time also, we've grown the flagship rent 4% like-for-like to GBP 174 million of annual rent. We enhanced returns to shareholder, returning it to a cash dividend in '23, and we progressively increased the payout ratio and commenced the buyback program. We've also embedded fully-funded net 0 asset plans into our business plans. U.K. EPCs are already fully compliant and there's not much to do to meet the 2027 standard. And that's great news. And we have already reduced our carbon emissions by 43% like-for-like. So we have a clear pathway to net 0 by 2030, and you'll find more details of that in your packs in the appendices. So we did what we said we would do. All these metrics support our success. And today, we have the strongest balance sheet, and we have started to deploy capital in a disciplined and accretive matter -- manner. All of this gives me confidence in our ability to generate growth and now tell -- let me tell you about how we build that growth. You'll recall on the right-hand side of -- or the left-hand side of this slide that I laid out the medium-term financial framework. I did that sometime this summer or this fall. The chart on the right shows you the growth drivers of our base and sets the agenda for the rest of this presentation. Starting from the right-hand side, there are 5 key drivers of growth here. First of all, the asset repositioning, we'll talk about that; targeted leasing now that we've created the scarcity and the rental tension; place-making and events; new income streams; and JV consolidation and other acquisitions. Now I've skipped over the platform and the refinancing as we've already covered those. Needless to say, we expect to generate further operating leverage. The key overriding message of these growth drivers is that we anticipate significant earnings opportunity in the medium term. And there's also a sixth growth driver where we have optionality and flexibility on a compelling pipeline of redevelopment and development opportunities. So let's now look at each of these growth drivers in a bit more detail. Turning to the first, organic growth in existing assets and repositioning, you'll be familiar with our success in the stories of Dundrum and Bullring and the high returns achieved shown on the left-hand side. The key takeaway here is that we've been -- we're still living the halo effect of these investments as they unlock the next phase of leasing. In Dundrum, we contracted a further GBP 45 million of rent to first break in '24, including key upsizes with leading global brands. There are two firsts for Ireland. There's the Lane7, which is Bullring. And they -- we are building with them a relationship on the back of their successes in Bullring. And the first 50 units of social housing were delivered on our Ironworks residential project, which is set to complete this year. With only incremental CapEx in 2024, that all means that Dundrum delivered a total of GBP 150 million of contracted rent off GBP 33 million of investment at 100%. If we now look at Bullring, we secured another GBP 50 million of contracted rent in 2024 for this asset, including new lettings with Space NK and a partnership between adidas and Aston Villa, et cetera. There are others that have been signed in the last days I can't mention, as well as leasing and opening of Sephora. Again, that means, at Bullring, a total of GBP 89 million of contracted rent was delivered off GBP 32 million investment at 100%. On the back of these successes and the experience we gained doing that, we are confident in the current repositionings at Cabot Circus and the Oracle. Those were initiated in 2024, and they are going to be delivered in 2025 with the full benefit coming in in 2026. So Cabot Circus is slightly ahead on its journey and 2024 was a year of reinvestment there with GBP 8 million deployed at 100% to re-anchor the retail and the leisure proposition. So we secured a vacant position of the House of Fraser and showcase in the first half of '24 there. We're welcoming 2 new occupiers with their latest concept, so a full range M&S and a premium offer from ODEON. Both will open in 2025. These anchor investments underscored the enduring strength of the scheme and of the catchment. And they precipitated, as always, a flurry of leasing and allowed us to attract existing and new retail and leisure brand partners. Again, there's things that have been signed we can't talk about yet, but a promising year for '25. The repositioning of -- so overall, if I finish on this asset, that means we saw GBP 43 million of contracted rent to first break in Cabot. And our occupancy improved from 93% to 97% in this destination. The repositioning of Quakers Friars in this asset affords the opportunity to bring a greater mix of uses, including cultural and health care, and that's in line with our strategy. Planning has been submitted there, and we may have the possibility to commence that in the second half of '25. Now turning to Oracle, we've commenced a GBP 25 million works program at 100% to repurpose the former House of Fraser there and to enhance the riverside experience and F&B offering and improve our entrances and circulation in the estate as a whole. So we do have around 40% of the asset -- of the space in scope, which makes it our most material repositioning to date. 2/3 of the former department store space is already let. In fact, we've just handed over to Hollywood Bowl and TK Maxx with new formats, and they are going to be open in -- opening in 2025. So we're in advanced negotiations for the remaining 1/3. And as with Cabot Circus, our investments have reinvigorated demand across the destination. For the medium term, we are awaiting final planning for a build-to-rent scheme in the former Debenhams space. And that would add a new use, a new customer, and densify the estate. And there is further residential opportunity on this overall site. Now the second growth driver, leasing, leasing is a core part of carefully curating the right mix in all destinations and offer the right product our brand partners and also cater to the local demand and the local communities. While we are diversifying uses, 45% of leasing value in '24 was with the leading global and national fashion brands, and they're the ones that the consumers are demanding. Health and beauty, jewelry and services comprised a sizable portion, an increasing portion, of 37% of leasing to nonfashion. And then expanding and improving our grocery, F&B and leisure offers made up most of the balance of our leasing and sales were up on those categories. Across the portfolio, we continue to increase the richness of our offering and generate incremental income. And placemaking and events is something that we will do more and more. So the third growth driver is about placemaking and events. So we have a digital team in-house, and they drove higher levels of engagement in digital channels in 2024 with our social media followers up 16% to 1.2 million. This has increased digital reach, and that complements our physical reach and it supports the footfall and sales. As you know, our destinations have some uniquely attractive areas and space for events. And I'll just give you a few examples because there was a lot this year. So the Olympic flame came to Les Terrasses du Port. We secured 3 Team GB fan zones at Bullring, Cabot Circus and Westquay, drawing 12.5 million visitors over 12 weeks. We hosted a Sound of Musicals West End show in Westquay's events esplanade, which attracted 65,000 attendees. And then the opening of Sephora at Bullring in November demonstrated the power of our physical and media assets. So we have a strong relationship with Sephora in France, and we renewed them at Les Terrasses du Port in '24. Our insights have showed us that Sephora was the most in-demand brand for Bullring, and we made that happen. We developed and delivered what we call a total domination package completely tailored to Sephora. This was a paid-for marketing campaign combining events, advertising, media streams, which we have a lot of on the portfolio and digital reach. It saw the Sephora brand taking over Bullring for a total of 6 weeks essentially, and it was a huge success. So ahead of the opening, we had customers camp out overnight. The store saw 140,000 passers-by just in the first few days and 8,000 visitors per day in the first week, and that continues to be strong. So the footfall in this area was up 29% week-on-week. And again, it's a big draw. And what's good for Sephora is good for us. Moving on to our fourth growth driver, and that is complementary to what I just spoke about, and it's about new income streams. So we were able to closely track the performance of Sephora due to our investments over the years in AI-enhanced tools and data sets. These technologies allow us to track trends and better understand the customers, the value of our place -- space, strengthening out the bargaining power and informing our decisions. So I'll just give you another quick example of that. So we opened of how the data we get helps us. So the opening of Sidemen at Bullring, for those who don't know, they are Europe's largest YouTube collective group with 138 million subscribers. So it drew an incremental of 80,000 visitors to a formally vacant area of the destination over that weekend and equating to around 13% of the week's total footfall. We were able to track that 15,000 visitors entered the store in the first week and there was a capture rate of 12%, which is far above what you typically see in physical and online averages. Our media screens also saw a notable pickup in audience during the same period. Our insights also showed us that Sidemen attracts a younger customer, and we also saw an increase in footfall and sales related -- and we saw that effectively relating to the type of F&B and leisure brands that the population was going to. So this is a lot of data to help us position our leasing and our commercialization. So it's all a win-win. And as shown by the testimony that you have on the slide from Sidemen, we can see the benefits of understanding the data and being able to talk about it. So there's also -- there is a possibility to generate returns of that to grow the top line from better monetization of our media assets. And we're excited about the possibility ahead, and we're actually accelerating the rollout of our -- of this platform in 2025. Now, the fifth growth driver is focused on acquisitions. So 6 weeks after completing the disposal of Value Retail, we recycled capital from an exit cash yield of 3.4% to gain 100% of Westquay at a high single digit. So that was a good piece of business, and there's more to be delivered on that. Our pure-play operating platform puts us in a unique position to better underwrite the risk-return profile as long-term stewards of our destinations. And we see a remaining indicative opportunity set of GBP 450 million to GBP 500 million of JV acquisitions. We remain also alive to any outstanding opportunities in the top-tier city catchments, consistent with our landmark destinations strategy and disciplined approach to capital allocation. Now, the final growth driver has to do with redevelopment and the development pipeline. So it's important to understand here that there's a sequence to these. First, obviously, there's the current repositionings, and we've spoken about that, and we're on that at the moment. Then we have near-term redevelopment opportunities, and these have a time horizon of about from now to 3 years, medium term, which we estimate is about 3 to 5 years, and then we have projects that we classify in the long-term bucket, which is think about 5 years and more. Again, we're focused now on the repositionings of our core destinations, which you're familiar with, so Cabot Circus, Quakers Friars, the Oracle surging now. The estimated CapEx spend there in the next 2 years is around, as Himanshu said, GBP 55 million with a gross development value of around GBP 100 million. You have that in the far-left side of the slide. So we're funded for those. Of our near-term redevelopments, at the moment, we're committed to one, which is Ironworks at Dundrum. This will complete this year. So there's about GBP 10 million remaining spend at our share there, a great example, that project -- of a residential project, which also densifies the estates while offering good risk-adjusted returns and new more diverse and secure income that is bolted on to the asset. Moving to the right-hand side, when we talk about the medium term, there's a further potential gross development value of about GBP 470 million at our share. Longer-term opportunities, both on existing destinations and stand-alone assets, comprise a further GBP 4.4 billion of gross development value at our share. In all of these projects, we continue to analyze all potential alternatives for delivery, depending on scale, depending on the market circumstances at the time a decision has to be taken. So this could include developing ourselves. It could include working with partners or it could include site sales at the right price. So importantly, there is no funding commitment decision required before 2027, given where these sites are at different places in their time line and their planning processes. So the particularity of our sites, though, and why they are so valuable is that they are mainly surrounding our estates and they will -- they have the potential to add value in many ways in the years to come. So when you think about it, our pipeline has a lot of mixes of uses. And it does include up to 7,000 residential units, and that would add further density to a number of our destinations in time. So in the meantime, putting that aside, we have plenty to be getting on with on the short term to deliver value quickly, and it does show the flexibility and the breadth of the opportunity that we are creating in this portfolio. As said, we will remain disciplined and select the best returns for the shareholders at the right time of decision. So to close now, as you can see, it's about growth, and we have a lot of opportunity in the portfolio. And I'm really pleased with where we are today. And I'm really proud of the team. And together, we're all excited about the future and aligned on a vision. With the turnaround behind us, we now have the right assets, the right platform, the right balance sheet, the right team, and that all comes at the right time. So we have more to do in an environment that remains uncertain, but I am confident that our portfolio is well positioned to drive rental and earnings growth from the high demand that is the -- for the scarce relevant space where brands are consolidating. And before we go to Q&A, I'd like to play you a short video. It brings to life what we're doing at the moment. So it brings to life the power of a premium brand space, a leading global brand, and placemaking and marketing come together to create something quite special. So someone push the button.
Rita-Rose Gagné: A shoutout for Sephora also. So on that, we will now open to Q&A. Thank you.
A - Josh Warren: We'll go to the room first and then we'll go to the phones. I think Rob Jones had his hand up first.
Rob Jones: Rob Jones from BNP Paribas. I've got 3 that are slightly less exciting than that video, so I apologize for the imbalance. On an occupier market, 1 on admin costs and kind of 2 parts on CapEx. Occupier market for '25, you've already touched on the fact that you you've been doing leasing 10% of previous passing, 11% ahead of ERV, which is obviously good numbers. You also talk about having the confidence when you look through '25. I guess, A, what gives you that confidence to I guess get to a position where we can think about the GBP 85 million of earnings being the base, but obviously, 1 driver of growth of that number will be the success of leasing activity through the year? On the admin side, you guided to, I think it was a 10% saving. You beat out quite substantially, 16% saving. What was the driver behind that? And are we now in a position where you don't need to take any more costs out of the business? Because obviously, the direction of travel is growth of AUM going forward and ultimately a reduction in the cost ratio associated with that. And then the final one on CapEx, so GBP 85 million, Himanshu, do you think about kind of required returns on that CapEx maybe, I don't know, spread over the cost of debt or a spread over the asset yield or an absolute figure? Just to -- kind of how you think about that kind of go/no-go decision? And then finally, if you -- would you bring the Brent Cross regeneration forward from a nearer time horizon in that kind of 5-year-plus view if you owned 100% of it?
Rita-Rose Gagné: Okay. Thanks. So let's go back to your first question around the occupier market because, obviously, our strategy does have that. That is driven by the performance of the leasing. I think the answer there is just the way we've positioned the portfolio. As I said, I mean, this is about being in the best possible places accessing population. So the brands are consolidating to fewer, better places. I've mentioned that in the presentation. And that continues, and we don't have a lot of space and that type of space, city center, that enables occupiers to operate their business in a more efficient way, also operationally, being in the center of everything. It's just scarce space. So we're obviously alert to the fact that occupiers will go through also their uncertainties around the budgets, et cetera. But given the type of strategy and the occupiers that we're attracting on the portfolio, we don't think that's going to change the demand. Actually, the contrary, it's a time where we do want to consolidate it and to operate more efficiently. And just bear in mind, again, that the rents are affordable. So rents are 10% of sales. So I think that's the whole thesis for our strategy, so confident there. And again, it's been over 4 years. There's been so much going on in the market, and so much times people were very nervous around the demand around the consumer, but it is there. People are out and about. There's activity, and it's a question of reducing the supply and making sure you're in the best supply and making sure you're keeping it relevant and you're investing in your properties. In terms of the cost, you asked me the -- what are the underlying drivers of the cost reduction? I would say to you that, obviously, over the last 4 years, it's been different things. I mean when you think about, when I came in, there were over close to 600 of headcount. There was -- the costs were about GBP 25 million, GBP 26 million higher. There was a complicated business model. So there's a lot of things that just have been changed over the 4 years. And today, we're about GBP 125 million with the new operational model. So the big decisions, the hard decisions, have been taken. I would say to you that game changer now is the investments that we've also been doing on the automation and the AI-enhanced capabilities. So that does drive better. There are some hard costs we've been able to take out of the business. It drives more efficiency and you continue to have that. But I think the bulk of the work is done because don't forget, we are scaling back up, so we do need to create leverage with -- from this base. So on the CapEx, Himanshu, I'll give that one to you.
Himanshu Raja: Thank you. Rob, so far, it's not been very challenging decisions. The hurdle is over the [indiscernible] cost of capital. But when you look at the repurposing investments we've made, our initial underwrites, for example, at Bullring and Dundrum were 15%, 20% IRRs. We've blown the doors off those, and you've seen that in the contracted rents that we've delivered. When it comes to then the investments like Ironworks, again, we look to yield on costs and what it does for the overall portfolio. We are rightly cautious about the medium- and longer-term CapEx where, today, no decisions are required before 2027. The light-touch CapEx all builds incremental value on that land bank. And therefore, we remain open to seeing where the market settles in each local market, so none of these kind of ground corporate level plans, and to seek the best risk-adjusted returns at that time.
Rob Jones: Brent Cross?
Himanshu Raja: Brent Cross, would you bring forward, I think you asked, a 5-year development? Back to you for that one.
Rita-Rose Gagné: Yes. Listen, Brent Cross, we're active on a short-term reinvigoration of the asset, so around the asset and creating and increasing the quality of the leasing, et cetera. There's a long-term vision. It is a long-term vision. And it's placed in that bucket because the reality is that I can be marketing and say, hey, that's great, but the reality is it has to go through different stages. We need to align stakeholders, and that's going to take a few years. So again, we expect to do that, but it's a 5- to 10-year venture.
Bjorn Zietsman: Bjorn Zietsman from Panmure Liberum. Just a few questions from me, also on the underlying occupier market. A number of retailers have guided to earnings pressure. That's as a result of employer NI coming through in the second half. Do you see some of the rental tension that you've experienced subsiding as a result over the near term? Then another question on IRRs. You mentioned the circa 20% IRRs achieved on recent projects. Do you expect similar levels on the Oracle and Cabot? And then finally, considering the record spreads above swap rates and your strong balance sheet, is there not an argument that you could sweat the balance sheet harder and take advantage of acquisitions over and above the GBP 450 million to GBP 500 million that you have already earmarked?
Rita-Rose Gagné: Good questions, as always, in terms of the occupier demand specifically with the NI topic, I mean, obviously, as I said, it will -- it does impact the occupiers margin, but we didn't see any, as I said, since fall and over the last month and into January or February, the reason being that, as you saw in the media, some are looking to absorb the hit. Some had already started efficiency programs and automation and AI initiatives. Others will pass on increasing -- they're going to manage it in different ways. So again -- and if they are, that's where it comes the thesis of fewer, better places, so realigning their cost base and making sure they're getting into the right the most profitable areas where they can manage their costs and they can make the highest density sales, which we're offering in our assets. So again, I don't see the change in demand. It's just because of the scarce supply is what I would say, and the type of brands that we're attracting in the assets. In terms of the IRRs, yes, in terms of Cabot and Oracle, definitely, I mean, it's the same program that's replicated there. And you've seen the contracted rents that we're able to block for years and years with investments -- with the level of investments, it just tells you that IRRs are quite -- are very attractive. So yes, the same levels of IRRs. And I think those were the 2 questions. In terms of the deployment of capital, yes, we've guided in the medium-term framework, steady state, 30%, 35% LTV. But I think should we -- it's all a question for us at the moment to scale up the company. We're pure-play specialists in what we do. And if we can increase that by our asset or also outside opportunities, we will and we can and we have the balance sheet, even at the moment, to do that. Could we temporarily go over and above the 35%? Yes, I think, if it makes sense, it's strategic and it creates value, we would make that call is what -- obviously, we've worked super hard to get where we are on balance sheet. We will safeguard that, especially in an environment that remains uncertain, but we're carefully charting around that. And we'll make choices also, capital allocation choices, along the way. We've always been good at sequencing carefully and always making sure we can do the critical things at the right time and not trying to do everything at the same time. So that's the long answer for your question.
Edoardo Gili: This is Edoardo Gili from Green Street. Just one for me in terms of the GBP 500 million JV acquisition opportunity. How does that compare to your CapEx return expectations? How do you deploy capital between CapEx and acquisitions? And what is -- if you have a spread in mind between those 2 capital deployment opportunities?
Rita-Rose Gagné: Well, it's very different capital opportunities. So you -- it's part of the best possible capital allocation decision. So if you look at CapEx -- or it's about creating -- it's about creating better assets. And it's important to support the overall growth of the estate. And then if you have -- and typically, they are -- they have a higher return and they're shorter term to execute. The risk return profile is different. So you'll calibrate your returns accordingly. When you look at outside acquisitions, it's going to depend on the type of acquisition. But obviously, as Himanshu said, the big guidance is cost of capital, and then you have to assess the risk and the strategic value of the specific opportunities and calibrate different types of returns for different types of risk profile.
Unidentified Analyst: My name is Thomas. I'm at HSBC. Just a question on like-for-like gross rental income, which is up 3% year-on-year. Just wonder how much of that was driven by increases in the base rent and how much was driven by growth in the more variable elements like turnover, car park, commercialization income? And how should we think about those going forward?
Rita-Rose Gagné: It's mainly driven by the base rent. I mean, that's the big part of our revenues on the portfolio.
John Cahill: John Cahill from Stifel. You've given some really clear guidance on your near-term and medium-term schemes, which were very helpful. I just wanted to ask about the long-term schemes, particularly Goodsyard, et cetera. You said that there are various outcomes for those schemes. But how realistic is, for instance, developing it yourself or going into a JV partner? Is the problem less having access to the capital to do it, but more that, as you get close to pushing the button to say go, you go into a whole new category of risk in the listed equity market? I disagree with the way the listed equity market treats companies in this way. But think of St. Margaret at 9 Elms, Capital [indiscernible] at Earl's Court, as great as those schemes were on a lifetime basis, once you start getting close to start -- beginning on them, the equity market gets very, very nervous indeed. Can you really go ahead with them?
Rita-Rose Gagné: Listen, it's absolutely the considerations that we think about when we think about our development pipeline. But again, these are quite long-term. We're talking about 5 to 10 years. So we don't -- the situation will be different then. The market will be different. At the moment, doing development is quite challenging to get viable projects. So fortunately, we don't have those decisions to take now. But there is a notion of how much you can do in your REIT vehicle, so the level of activity you have. And as I said to -- I just said the risk profile of some, given developments, and we're mainly focused on earnings and operating our core properties. So I think, if you're just asking me a question of what's going to be in 5 years, are we going to be in a different position or the environment will be in a different position, I think that I've always wanted to keep these land and development projects because they are very valuable and with very light-touch capital, you create the land value and the site preparedness in order for us at the right time to decide, well, can we do this? And how will we structure ourselves? Can we do it at 100%? Can we do it with a partner? Do we sell? And you might see us -- I said it in the presentation, you might see us sell a few sites even in '25. So it's a careful selection. It all has to be in line with our overall sticky strategy. And then I really would like to answer to -- all your questions with my cap of today, but it's -- that's why we're segregating the pipeline, because someone can come in and tell you, hey, I have a big development pipeline of GBP 5 billion, isn't that great. But it's unrealistic to say that it's all doable today and how it's going to be done. It's just not how we work. We're very selective in creating the steps to the journey, making sure we can do what we have to do and do it right and do it -- doing more of the short-term risk-return things. And then the planning will bring us to different times of decision in time. They're just not all feasible at the same time. So I don't know if that answers -- gives you a view, but all options are open at the right point in time.
Josh Warren: It doesn't look like any more questions in the room. So should we just check the phone lines? I think there's a couple of people waiting. Operator
Operator: We will take our first question from Marc Mozzi from the Bank of America.
Marc Mozzi: I have 3 questions from my side. The first one is on your like-for-like net rental growth, which is flat over the year. And if I understand correctly, it has been negative in H2. Can you let us know what has been the driver of this negative growth in H2?
Himanshu Raja: It was principally that we've begun to take a vacant possession on some of our development portfolio. So 1 of the enhanced disclosures we gave was the GRI/NRI ratio on flagships versus the total. So it's vacant possession as we begin site preparedness.
Marc Mozzi: Okay. My second question is on the, I would say, absence of precise guidance for 2025. It looks like you have all in your hand to give us a range at least of an EPS for '25. And I was just wondering what has been presenting you to give us an EPS range, at least a range for '25?
Rita-Rose Gagné: Well, listen, the -- we're giving a lot of detail, but I would say that there's things that will move the timing of acquisitions for 1 that will move. And at the moment, it's going to depend on that. And I think that's the main element probably that has to be specified.
Marc Mozzi: That's only due to the ongoing -- your acquisition plan, you don't know when some is going to be completed or not.
Rita-Rose Gagné: Yes, exactly.
Himanshu Raja: Timing, yes.
Marc Mozzi: And my final question is on your LTV guidance. What should we consider as kind of a range or a stressor you don't want to go above in terms of LTV, please? Because you're planning potentially GBP 400 million, GBP 500 million of acquisition and that is going to move eventually your LTV higher. Do you have any threshold in hand?
Rita-Rose Gagné: As I said, if you refer to one of the slides in the portfolio, medium-term, our financial framework tells -- it gives you a range of steady state 30%, 35%. And our steady state is the reality that we also have acquisitions in the steady state. So that's pretty much the range. If there are additional opportunities, of course, temporarily, we could go up a bit around those. And the other key criteria around the balance sheet is the net debt to EBITDA. So we gave a guidance of being about at 6x to 8x. We're at 5.8x, 6x to 8x net debt to EBITDA. So that sort of gives you the overall framework we're working around.
Marc Mozzi: And I'm sorry, I'm just coming back on my one question because timing of acquisition is one thing, but you could have provided us -- providing us an EPS guidance, excluding acquisition. And I don't understand why, because you were so detailed, but I don't see why we don't have this kind of guidance.
Himanshu Raja: Let me respond to that. I've given you, in the appendix, a line-by-line P&L guidance. And then make ourselves available, Josh and I and the team, to kind of walk you through that. We've got a number of moving parts in the portfolio. You saw what happened on Dundrum and Bullring, for example, and how those came through to drive really positive growth from those. You can extrapolate from those and we'll help you as to where the Cabot and the Oracle lettings go live. We'll get the full year benefit of those in '26 and on and on. So in the interest of time, I think we'll help you with the modeling and the line-by-line guidance offline.
Operator: We will take our next question from Paul May from Barclays.
Paul May: A couple from me. Just following on from Marc's question on the NRI, I suppose the question is there's a lot of positive headline numbers with regard to leasing versus passing and leasing versus ERV. But as yet, we're not really seeing that flow through, and I appreciate the vacancy point around development. But when should we expect to see those numbers actually flowing through into cash flow and earnings over time? I appreciate the building blocks you've given on the GBP 85 million and the timing there. I think that's very useful. Just wondered, are you actually in active discussions on acquisitions as of now? Should we expect something soon, or is there likely to be a sort of second half weighting on those deals? And then the final one, I appreciate you've sort of guided to net debt to EBITDA sort of 6x to 8x range. I think you're one of the few that actually focuses on that as a metric, which is good. But you've worked hard to come down to 5.8x. That's kind of in amongst and around the sort of global peers. Should we say it could even be on the slightly high end. The incoming we have for investors is actually anything above 5x is still too overlevered for a lot of generalist investors. So I just wondered why the 6x to 8x range? Why not lower seeing as you've worked hard to get it into that 5x to 6x range, which, on a global perspective, is sort of seen as more normal. So I just wonder your thoughts there.
Rita-Rose Gagné: Okay. So for your first question around cash flows and et cetera, at the moment, again, we're not standing still in this portfolio. So we are doing major repositioning. The Cabot and Oracle are -- it's about 40% of those assets that are vacant at the moment. So obviously, that does impact the NRI. And that, as I said, is going to be delivered this year, and you're going to see the flow-through of that. In terms of the exact timing, it's over the year and, ultimately, full run rate in '26. In terms of the acquisitions, listen, I just -- you'll understand that I won't give any specificities on timings on that in terms of we're in current several discussions, and we're looking towards delivering those over '25.
Himanshu Raja: And on your balance sheet question, Paul, look, when we look to the IG ratings and our discussions with both Moody's and Fitch, that 6x to 8x is a good range. As we scale up, you'll recognize we manage GBP 4 billion of AUM today, but our share of that's GBP 2.6 billion. And when we do something like a Westquay acquisition, you get the benefit of the earnings that we manage. And therefore, that helps your net debt/EBITDA. We see more of that same coming through. So is it 5.5x? Is it 6x? It's closer to the 6x than it is the 8x. And it's that commitment to an IG rating that determines that 6x to 8x. Should we go outside the range because we see opportunities ahead, then we're prepared to do that. But we think, close to 6x to 8x.
Paul May: Just a follow-up, if I can, on that. On the IG rating point, I think Europe is an oddity because I think, if you look at the credit rating issues on the U.S., they focus on net debt to EBITDA, and I think all companies in Europe would be junk-rated if they brought the same thresholds into Europe. Do you see any risk that that becomes more of a focus for the rating agencies from the conversations you've had? And actually, they start to look at cash flow metrics ultimately far more in focus because -- given the rate environment we're in now versus where we were previously?
Himanshu Raja: Paul, I'd reflect it's not new actually. In the European agencies, we deal with kind of Fitch and Moody's. I'm not close to S&P, but the net debt/EBITDA metric has been prominent for the -- since COVID, really post COVID. And it's obvious kind of why it's there in the higher for longer environment that we're in, so not new. I don't know about the read across from the U.S. for other companies, but we were very disciplined in the IG rating and protecting that and strengthening the balance sheet, which as we process, it's -- we've worked very hard to get here, and we intend to stay disciplined in the deployment of capital. Operator
Operator: We have our next question from Zachary Gauge from UBS.
Zachary Gauge: Yes. Just a question for me on valuation. So I think, on the first slide, you say all values now reflect transactional evidence. Could you just point me to the evidence that you've seen in France, so sort of suburban power shopping centers and power shopping centers around Marseille that support the initial yield of 4.3% valuation yield on those assets?
Rita-Rose Gagné: What we've seen in France is, if we look at the transaction from the ER, which was a minority passive stake, which was at a net initial of about 4.5% about, net equivalent 5%, I mean that's for a completely passive stake. We have assets that are 100% owned and key assets in their segments and that are high performance -- high performers. So I think it is a good comparative benchmark. And obviously, we've ourselves done a sale of Italy during 2023 also at similar levels. So that is -- these are the benchmarks. And when you look at this trend for France, I mean, it's quite, as you said, 260 to 5-year swaps and that sets our way. But the yields are far from what they have been over the last years in France where the yields were much lower. So it feels that -- when you look at the portfolio, France, Ireland and U.K., it feels that the portfolio is well positioned now in each of their geographies.
Zachary Gauge: Sorry, just to clarify on that point, you're saying that the deals in Paris, Central Paris, are comparable to peripheral Paris and Marseille, which is also on a leasehold. Do you think those yields should be broadly in line with each other?
Rita-Rose Gagné: Well, I think they're different profiles of assets. Again, you're talking about a minority, noncontrolling, passive stake in the assets that you're referring to in Paris versus 100% controlled assets that are prime and key and dominant catchment areas. So they're all A+ rated. So yes, I think they're comparable with their differences. Operator
Operator: We will now take our next question from Ventsi Iliev from Lanschot Kempen.
Ventsi Iliev: The first one is a follow-up on the NRI, and I understand the vacant possession argument. But if I look at your vacancy, then I see that it has improved for the total portfolio, not only for the flagship. So is the vacancy number adjusted? And then second 1 on the bridge you provide for the adjusted earnings run rate, I see that you're taking out the income from the value from Value Retail, at least the recurring earnings, but I don't see you adding additional income from deposits, or perhaps I don't see you adding cost savings from debt that you retired this year. Can you elaborate a bit more on that?
Rita-Rose Gagné: Do you want to start with that one, the adjusted earnings question?
Himanshu Raja: So on the adjusted earnings question, on the adjusted earnings walk, we talk about the net finance costs. I think that was what was behind your question to say, do we recognize the benefit? And in terms of next year, it will all depend on the timing of acquisitions again, which, well, we've had a previous question on. Can you give me more specific timing on the deployment of capital on acquisitions? And we're in active discussions, as Rita-Rose said, and wait for updates on that. So again, Josh and I are available to help guide you on your models as much as we can, but you'll have to work with a certain timing of that deployment.
Rita-Rose Gagné: Yes. On the NRI question, again, I mean, there's a notion of the size or the scope of what we're doing in our asset that comes to impact those numbers. There's -- in some cases, and we have to go specifically asset per asset in some cases, there have been some debt or some surrenders that have impacted the NRI number, some one-off. So if you look at the underlying NRI actually and you take out the Cabot and the Oracle ones, you're at healthy low-digit number -- gross numbers for NRI. So again, we're just not standing still on this portfolio. So we still have discrepancies with some assets that impact the overall picture. But once they stabilize, we're confident that we're back to those low growth -- low single-digit growth numbers for NRI by '25, '26.
Ventsi Iliev: Okay, clear. And maybe just one follow-up on the run rate of adjusted earnings. Aren't you worried that the market will take this as some sort of official guidance?
Rita-Rose Gagné: Sorry, can you repeat?
Himanshu Raja: Yes. I mean, we are trying to help you with guidance, which is that there's an entry run rate of GBP 85 million. And off that base, then we see opportunities, both in organic growth and in acquisitions. And then further down the P&L, we guide you on GRI to NRI conversion. We guide you on cost, we guide you on finance costs. And it's [indiscernible].
Rita-Rose Gagné: Just giving you a bit of perspective on the NRI, so I think, ultimately, that's how you need to take it, just helping you to better understand. I think I may have time for another question, Josh, because I think we have one in the room.
Josh Warren: I've got one in the room, and then we'll be out of time, but anyhow.
Unidentified Analyst: I was wondering if you could just give some more color on the Irish portfolio. Obviously, the like-for-like change was negative. I'm just wondering. You've got high occupancy there. What is holding back that market? I know you mentioned there was a one-off in the last year, but is that kind of indicative of 2025, '26 onwards?
Rita-Rose Gagné: Yes, exactly. We've explained that by being -- Dundrum was coming off a very strong base in 2023. And so the comparator is tougher there. We did have an over-rent leasing done in Ilac, so we -- that asset will -- when you take that noise out of the equation. And again, this is not a guidance. It's helping you on a nice -- on what the trend of the asset is. You're going to see good growth trends in Dundrum. It's a very strong asset. And as you say, the occupancy there is very tight. It's about at 2.7%. So there's a lot going on there. As I said in the presentation, we still do have a bit of some areas specific that are over-rented. That was one of them. Overall, we're revisionary. But yes, so when it happens, it does have a temporary impact and then we're back to replacing and continuing to lease-up the asset. I think we have to wrap up, right, Josh?
Josh Warren: Yes.
Rita-Rose Gagné: Okay. Great. Well, thank you very much, everybody, for listening in, and hope to see you in one-on-one.